Operator: Welcome to Gold Resource Corporation's Third Quarter 2021 Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the prepared remarks, there will be an opportunity to ask questions.  I would now like to turn the conference over to Ann Wilkinson, Vice President, Investor Relations and Corporate Affairs. Please go ahead.
Ann Wilkinson: Thank you, Kate, and good morning, everyone. On behalf of the Gold Resource team, I would like to welcome everyone to our conference call covering our third quarter 2021 results. Before we begin the call, there are certain housekeeping matters I would like to cover. Please note that certain statements to be made today by the management team are forward-looking in nature and, as such, are subject to numerous risks and uncertainties as described in our quarterly report on Form 10-Q and other SEC filings. On the call today, we have Allen Palmiere, President and Chief Executive Officer; Kim Perry, Chief Financial Officer; and Alberto Reyes, Chief Operating Officer. Following Allen and Kim's prepared remarks, all three will be available to answer your questions. This conference call is being webcast. For those of you joining us on the webcast, you can download a PDF copy of the conference call slides from the Materials tab under the Ask a Question tab. The event will also be available for replay on our website later today. Yesterday's news release issued following the close of the market, and the accompanying financial statements and MD&A contained in our 10-Q have been filed with the SEC on EDGAR and are available on our website at www.goldresourcecorp.com. Also, please note that all amounts mentioned in this call are in US dollars unless otherwise stated. I will now turn the call over to Allen.
Allen Palmiere: Thank you, Ann, and good morning, everyone. I want to thank the listeners for taking the time to join us on this call. Following my opening remarks concerning our Don David Gold Mine, Kim Perry, our CFO, will describe our financial results. I will then provide to you our thinking on the timelines relating to the permitting and development of the Back Forty Project, the principal asset we are acquiring as part of the acquisition of Aquila. Followed by a few other closing remarks, and then we will take your questions. With the intention of delivering excellence and sustainability, our team holds itself accountable to the highest environmental, social and governance standards, which allows us to deliver benefits to all our stakeholders, including our employees and local communities. As part of our Sustainability Report issued September 24th, we showed significant progress in 2020 over 2019, including a 23% decline in tons of CO2 equivalent produced per ton of ore processed, a 15% decline in the fresh water withdrawn and a 31% decline in the fresh water consumed, both per ton of ore processed. And finally, we increased the percentage of tailings recycled through the paste plant to 26% from 5.7%. Decline in tons of CO2 equivalent produced is largely due to the conversion to the electrical grid from using diesel gen sets to generate electricity. We are focused on identifying additional opportunities to lower our power consumption and improve efficiency. The declines in water consumption were due to the installation of the paste tailings plant as water is recycled back to the processing plant from this process. As I indicated, I will provide some color on our plans for the Back Forty Project, Aquila's principal asset in my closing remarks. But I will note here that we've negotiated the arrangement agreement with Aquila. The meeting materials for the special meeting of shareholders of Aquila have been mailed, and we look forward to the Aquila shareholder vote on the acquisition to be held November 17th of this year. Working safely continues to underpin all that we do with our goal of developing a zero-harm workplace for our employees, the environment and our local communities. As we noted previously, during the first half of the year, we initiated a global health and safety directive with an objective to lower first aid, medical aid, lost time accidents and near misses. This program builds on the safety protocols already in place and provides our personnel with a common approach to achieving our safety objectives. On the right-hand side of this slide, you can see the 12 golden rules developed as part of the program. More recently, our safety program objectives have been focused on identification and monitoring of leading indicators of a safe workplace, such as leadership in the field, regular and consistent risk assessment, behavioral observations, training records and department safety meetings. On our investments in infrastructure, construction of the water filtration plant and dry stack tailings facilities is 95% complete. Dry stack facilities will conserve water, accelerate reclamation of certain areas of the old open pit mine as well as extend the life of the tailing storage facilities supporting our objectives of delivering excellence in sustainability. As we indicated previously, we are undertaking a comprehensive review of our geological database, our geological interpretation of the mineralization, the block models derived from them and ultimately, the mine production models. The key objective of this initiative is to ensure reliable mine planning and forecasting. In addition, mining methods and ground control methods are being reviewed. During the first half of 2021, changes to the mine plan were made to allow management to put into effect lower effective ground support measures in the Switchback area of our underground mine. Accordingly, we changed our mining approach to ensure stability and to reduce dilution. During the third quarter, mining resumed in the Soledad vein of Switchback, which improved our mining productivity due to wider mining widths at higher ore grades. We completed 10 holes totaling 3,800 meters in our underground drill program as well as 38 infill and definition holes for another 3,800 meters in our Arista and Switchback areas. The results of drilling have confirmed mineralization below current mining levels in the Southeastern Switchback zone, particularly the presence of high-grade gold, silver and zinc, which will enable us to advance development planning below current mine limits. There is excellent potential to add precious metal bearing mineralization that is amenable to mining in the short-term. Our geologists continue to focus on exploring new areas and identifying additional mineralization along strike as well as up and down dip of the current mine workings. Turning to the third quarter results of operations. I'm pleased to report that we sold approximately 5,800 ounces of gold, 255,000 ounces of silver, 270 tonnes of copper, over 1,500 tonnes of lead and 3,100 tonnes of zinc. During the third quarter, we processed ore at an average rate of 1,350 tonnes per day compared with 1,700 tonnes per day in Q3 2020 due to the 12-day shutdown induced by our COVID outbreak and the related impact of enhanced safety and quarantine protocols. For the first nine months, we've averaged 1,500 tonnes per day, consistent with our mine plan despite the disruptions earlier in the year with ground control and in August and September with COVID. During the third quarter, the majority of the ore process came from the Arista underground with an average gold grade of 2.7 grams per tonne and silver grade of 91 grams per tonne. 114% and 20% higher, respectively, consistent with mine sequencing in the current year mine plan. Overall, base metal grades are consistent year-over-year and in line with the mine plan. With that, I'll turn the call over to Kim to discuss our financial results.
Kim Perry: Thank you, Allen, and good morning, everyone. We closed the quarter with a strong balance sheet, consisting of just over $29.5 million in cash and no debt. Cash from operating activities was $5.7 million for the third quarter, and working capital was $31 million at September 30. For the third quarter, we reported net income of $1.5 million. Revenues were in line with Q2 2021 and nearly $3 million higher than Q3 2020, notwithstanding, we had fewer tons processed through the mill. Net sales also benefited from a 44% decrease in concentrate treatment charges for base metal tonnes sold. Treatment charges for the three months ended September 30, were $2.3 million or $473 per base metal tonnes sold compared with $5.9 million or $842 per tonne of metal sold for the same period in 2020. This decrease is largely dependent on the spot treatment charge market for zinc. Total production costs of $17.2 million for the third quarter are slightly down from last quarter and 6% higher than the production cost of $16.3 million for the same period in 2020. The increase is primarily due to a $1.7 million increase in consumable chemicals used in the processing plant due to a 13% price increase, offset by lower volumes processed. DDGM's total cash cost was $466 per gold equivalent ounce sold, and total all-in sustaining costs were $1,031. These costs are down significantly quarter-over-quarter, and we expect these costs to be significantly lower again in the fourth quarter of 2021. Accordingly, we maintain our revised full-year guidance of total cash cost per gold equivalent ounce of between $250 and $290 per ounce and total all-in sustaining costs of between $800 and $900 per gold equivalent ounce sold. During the first half of 2021, a new management team was assembled with a directive to unlock the value of the Mexican assets, along with the mandate to grow the company. In the first nine months, management's investment in our Mexican assets totaled $18.9 million. We expect our spend on underground development in 2021 to be closer to $5 million rather than the $9.8 million originally guided due to a reallocation of resources early in the year to address ground support challenges. In Q3 2021, work began on the gold regrind project to repurpose the existing ball mill and refurbish certain flotation cells, while new flotation cells are on order and expected on site later this year. The zinc tailings will be reground and unleashed to produce doré bars. This process is expected to increase gold recovery by 6% to 10%. Commissioning is expected prior to year-end. As of September 30, 2021, $0.5 million has been invested in this project and another $200,000 expected this year. Construction of the filtration plant in dry stack tailings project is 95% complete, as Allen mentioned earlier. Commissioning will commence next month in November with completion expected in December 2021. Delays were incurred during the temporary COVID shutdown in August and delivery of some of the materials being delayed. The work to prepare the open pit to receive the dry stack tailings is complete. Mine development during the quarter included ramps and accesses to different areas of the deposit and exploration development drifts. A total of 2,500 meters of underground and exploration development was completed during the first nine months, including access to new drilling platforms for exploration. With that, I will turn the call back over to Allen.
Allen Palmiere: Thank you, Kim. As I noted in my opening comments, we are navigating the process of acquiring Aquila. Since the announcement in September of our agreement with Aquila to acquire them, the management team has been working to close the transaction with good progress made on all fronts, including the signing of the arrangement agreement on October 5th. Upon closing the transaction, we intend to finalize a new block model and resource study, develop a new mine plan, evaluate alternative process flow sheets and complete a revised and optimized definitive feasibility study, which we expect to complete in the first half of 2022. Permitting and detailed engineering are expected to run in parallel into 2023. This is to ensure that we're approaching the development of the Back Forty Project in the most environmentally and economically advantageous manner. Production of Back Forty is expected to produce gold and silver doré as well as copper, lead and zinc concentrates bearing gold and silver, and construction is expected to commence in early 2024. We feel the acquisition of the Back Forty Project is an excellent opportunity for our shareholders, as it will be immediately accretive on a net asset value basis. The combined company is expected to benefit from a peer leading growth profile, a robust balance sheet with no debt and free cash flow generation from its Don David Gold Mine. The company's position of financial strength is expected to result in an improved ability to access the debt financing required to fund the Back Forty Project's capital expenditures. Through the acquisition, shareholders will have the opportunity to participate in the ongoing growth of a multi-jurisdictional diversified precious and base metal producer with exposure to gold, silver, zinc, copper and lead through the Don David Gold Mine and the Back Forty Project. In closing, we remain on track for full-year guidance. We've already seen encouraging and affirming results in the third quarter and the early part of the fourth quarter. Thank you for taking your time to listen in. This concludes our prepared remarks, and I will now turn the call back over to the operator for questions.
Operator: Thank you. We will now begin the question-and-answer session.  And our first question today is coming from Heiko Ihle at H.C. Wainwright. Your line is live. You may begin.
Heiko Ihle: Hey, there. Thanks for taking my questions.
Allen Palmiere: Good morning, Heiko. Good to hear from you.
Heiko Ihle: Always a pleasure. So the dry stack project, you stated some materials arrived late to site. Is everything now ex-site? Or are there still things that are in route or not even shipped yet maybe? If so, what exactly are you waiting for? And I assume price-wise, this is a nonissue because pricing was locked in. So the - that large-scale inflation we've seen on everything from used cars to mining equipment won't be an issue on this one, right?
Allen Palmiere: Speaking to the latter comment first, it's not going to be an impact. I will tell you that what we are waiting for is an embarrassingly small piece of equipment. We had some piping that was delayed. It is backordered and should be delivered sometime in the next month or two. Unfortunately, the supply chain issues are affecting us just like they're affecting everyone else. But that's all we're waiting for, Heiko.
Heiko Ihle: But that hyping doesn't hold up construction of anything else.
Allen Palmiere: Construction is effectively complete. We literally, we're at the 95% level. We have to hook up some pipes, and we're into commissioning. That's where we are.
Heiko Ihle: Got it. And then pricing, it doesn't make a different data. Okay. Simple enough. And then just finally, on the Aquila deal. Allen, you sort of went into this big level in your prepared remarks. In your release, you list late in the number of closing dates, so we're looking at a month from now. Just got a curiosity and I don't know how much color you're willing and able to provide in a public setting like this. But what other issues or steps still need to be finished before the closing gets done, please?
Allen Palmiere: There are two or three conditions precedent to closing that we control. I'm not going to go into specific cycle, but they are well in hand. From a capital markets perspective, there will be a shareholders' meeting on the 17th of November, followed shortly thereafter by a court hearing, whereby with the benefit of a positive vote, the court will approve the plan of arrangement. Closing would then follow two or three days later, and we're currently planning on closing on the 23rd. So if you look at the risks associated with closing, number one, obviously, is going to be the shareholders' vote. We already have a preliminary order from the court, so we don't view that as being a significant risk element. And then we have these three conditions precedent, but all of which, based on progress to date, I'm very comfortable with. I think the likelihood of closing is very high.
Heiko Ihle: Excellent. Terrific news. Wonderful. Thank you, again. Congratulations and stay safe.
Allen Palmiere: Thanks, Heiko. We'll be talking soon.
Operator: Thank you. Our next question today is coming from John Bair at Ascend Advisors. Your line is live. You may begin.
John Bair: Thank you, and thank you for taking my questions. You touched a little bit on, in your prepared comments, about encouraging results regarding the potential to increase higher-grade mineralized material in the Switchback vein and I was just wondering if you could expand on that a little bit more? Is it new - actually new veins that you discovered there? Or could you share a little bit more on that?
Allen Palmiere: Sure. You may recall that Q1, we had some ground control problems in Soledad. And we have implemented new mining approaches in Soledad to reduce dilution, improved ground control techniques. But in addition to that, I indicated in my remarks that we've undergone in the process of undergoing a major review of all of our geological information leading up to block models and then to mine plans. That process has enabled us to develop a mine plan for the balance of this year plus next year with a high degree of confidence associated with our ability to produce. Where we are mining in Q4 of this year is in an area of Switchback that does in fact - I'd love to take credit for it, but nature put good grades there and the mine planning is enabling us to extract it with a high level of productivity. Does that address your question, John?
John Bair: Yeah. That's good. And then secondly, I'm curious if you have a sense on what your budget outlook for 2022 might be regarding exploration efforts outside of the Switchback vein system in the press release, you've indicated spending roughly $6.6 million year-to-date. And I was just wondering if you're doing any or planning on doing any extra exploration efforts. And this in context with what you're going to be focusing on, assuming Back Forty Project gets done, the merger occurs. Are you going to reduce any exploration activities, I guess, is what I'm asking?
Allen Palmiere: Quick answer is no. If anything, we will expand our exploration efforts in Mexico. The Back Forty is a discrete project at this point because of the stage of development, we're into detailed engineering studies, MET studies, modeling and working on the feasibility. So there will be no funds diverted from Mexico for exploration in the Back Forty. In terms of the quantum of the expenditure for next year, I cannot tell you at this point. We're in the process of developing those plans as we speak. In all likelihood, the constraint will not be available capital, but it will be available drilling sites just as was the case this year. Our emphasis for next year will continue to be near mine and in mine exploration to expand our reserves and resources. We are going to be looking at a few greenfield sites, but that won't be our primary focus. Our primary focus is to maximize the value associated with our existing infrastructure. So we're going to be looking close to home to try and expand our resources and reserves.
John Bair: Okay. Very good. And last quick one. On the gold recovery project, will the regrind help in zinc recovery as well as gold? Or is that completely separate?
Allen Palmiere: That is completely separate. What we're going to be doing is, we're going to be taking - how do I phrase this? We're going to be taking the reject from the zinc circuit. So effectively, you've got material going in, you've got the zinc concentrate produced and you have tailings, which historically would go straight to the tailings facility. What we are going to be doing is we're going to be taking those tailings, subjecting them to another stage of very aggressive flotation to produce a form concentrate that will then be reground and fed into the leach circuit. The sole objective of that exercise is to recover goals that would otherwise have gone out into the tailings and it's significant. We're directionally looking at between 6% to 10% increase in gold recovery.
John Bair: Right. Yeah. So basically, the initial processing of this ore has removed the majority of the zinc that you can on an economic basis. Is that right?
Allen Palmiere: That's correct. So what we are treating is the reject from the zinc concentration process.
John Bair: Correct. Okay. Very good. Thank you for taking my questions, and good luck moving forward.
Allen Palmiere: Thanks, John. I appreciate you calling in.
Operator: Thank you.  Our next question today is coming from James Bottom. Your line is live. You may begin.
Analyst: Good morning, Allen, and Kim, and congrats again on the quarter. Allen, the first question I had was related to the CapEx modifications that have been made. In thinking through the reduced 2021 CapEx forecast, can you elaborate on what's been deferred into 2022 versus what is simply reduced or eliminated?
Allen Palmiere: We have not eliminated anything, James. The major contribution to the shortfall on capital in the current year is because we are to be very honest, behind in our development. You'll recall the ground control issues that we had in Q1, those necessitated diverting development capabilities to bypass certain areas and develop new areas for mining. But the net result of that was overall, we got behind in our development. It's not canceled, it's deferred. And we are looking at various means of catching up on that development over the next 6 to 12 months.
Analyst: Okay. Fair enough. And then regards to the Back Forty, do you have any updates, Allen, on the permitting application timelines? And also, do you anticipate any further need for dilutive financing to take the project to construction at this time?
Allen Palmiere: James, let me answer your questions in conjunction with some questions that were sent in all deals with the Back Forty. I'll deal with the latter point first. We are not anticipating any dilutive financings in order to build this project. Our estimates at this point would indicate that between cash flow from operations and normal project finance structure, we have no need to entertain any dilutive financing whatsoever. That was one of the attractions of this particular asset. Permitting timeline is, unfortunately, by definition, it was somewhat flexible. In Michigan, the permitting process is controlled by the state. There is no direct federal involvement in the permitting process, and there's department known as Environment Great Lakes. And the acronym is EGLE, Environment, Great Lakes and Energy. Thank you. I always stumble over it. But that department controls the issuance of all of the permits necessary to move the project forward.
Analyst: Perfect.
Allen Palmiere: As you may know, Aquila had a year ago, all of their permits. But in the review - there's a period of time necessary post issuance of permits, whereby they can be challenged in an administrative court. One of the permits was the wet lens permit. It was challenged, and it was overturned or it was revoked based on the technicality. Aquila decided not to pursue it pursue legal action to try and have that overturned, but they stepped back and they took a look at the way with which they were approaching mining of the deposits and all of the ancillary impacts on wetlands in particular, environmental impacts broadly defined. That has resulted in the current process that's underway to do or produce a revised and optimized feasibility study. That study will be complete, as I indicated, second half of next year. Our timeline - our targets are a little bit more aggressive than what the numbers I'm going to give you. But for reference, it will give you an idea of what we're dealing with. If we can complete the feasibility by the end of Q2, the permitting time line can be somewhere between 8 and 12 months to receive the permits. After that, there is a six-month to eight-month period, whereby the permits are subject to challenge. Once we get through that challenge period, then you have effectively a court-approved permit, which will allow us to move forward. When you put all the time lines together, I'm anticipating that by the end of 2023 at the latest, we will have all of the permits necessary for us to begin construction subsequent operations. It may be as soon as Q3 of 2023. But I'm being conservative because what can happen, will happen. So I'm going to suggest that it might be the end of 2023 before we get permits. At that point, we would be in a position to start construction, James.
Analyst: Okay. Great, Allen. Thank you. And this next question may be for Kim. Do you have a sense, Kim, of what the new pro forma G&A expense will increase to or what level of increase we can expect post the acquisition of Aquila?
Kim Perry: Yeah, James, thank you for the question. We've looked at it, and we actually feel strongly that we're going to have a lot of efficiencies and synergies that will develop. We don't have our budget for G&A next year. It will be a slight increase from our G&A this year, but we should be able to achieve a lot of efficiency. So maybe $7 million over our 6.5%, 7% to 8%.
Analyst: To relatively minor. Okay. That's fair. Good to know. Two last quick questions. Allen, I apologize for taking up the call. I may have missed this, on the regrind, do you expect the gold regrind benefits to actually begin in Q4 of this year or Q1 of next year?
Allen Palmiere: We will start seeing some initial benefits next month. There will be a commissioning period. So while we will see the impact in November and December, we will see the full impact beginning in Q1 of next year.
Analyst: Great. And then last question is related to the tons milled. In terms of what we can expect in terms of Q4 and beyond, what should we anticipate the throughput rate to be on a steady-state basis going forward?
Allen Palmiere: As you're aware, James, the budget rate or the planned rate for this year was 1,500 tonnes. That was done very consciously. What I can tell you is it will not be less than 1,500 tonnes, and we are looking at the potential for increasing that next year. Beyond that, I really can't comment because honestly, I haven't seen the mine plan for next year yet. So it's in development, and I expect to see it next week. But right now, it would be premature for me to give you any kind of directional tonnage. It won't be a decrease, and I'm expecting a decrease.
Analyst: Perfect. That's positive news, and I appreciate the time on this. So I'll jump back in the queue. Thanks, Allen.
Allen Palmiere: Thanks, James.
Operator: Thank you. Our final question today is coming from Ron Aubrey at RJ Aubrey Investment Corp. Your line is live. You may begin.
Ron Aubrey: Good morning, Allen.
Allen Palmiere: Good morning, Ron. How are you doing?
Ron Aubrey: Hey, terrific. How are you?
Allen Palmiere: Good. It's a beautiful day in Denver.
Ron Aubrey: Cold one in the Midwest. Congratulations on a very, very strong third quarter. I mean, you were only $1.8 million revenue less than Q2 despite this 12-day shutdown. So what do you attribute that to? And do you see this strong operating performance directionally continue this quarter and into next year?
Allen Palmiere: Really, there's three factors. Commodity prices helped. We got back into areas that have, as I indicated earlier, better grades, good widths, better grades, so higher productivity and more metal going to the mill. But the third factor realistically is by far the most important factor is the operating team in Mexico has done an excellent job of recovering from the 12-day shutdown that we was imposed on - well, it wasn't imposed. We took a 12-day shutdown because of the incidence of COVID that we were experiencing. Restarting after that, the team down in Mexico did an excellent job of getting back up to the normalized rate of productivity, and they did it very, very well. So those are the three drivers. Going forward, as I talked about earlier, we're in the same material. We're back up to full run rate. So I would expect Q4 is going to be a good quarter for us.
Ron Aubrey: That's excellent. Do you think or still feel that you're on track to achieve your 40,000 to 42,000 gold equivalent ounces for this year?
Allen Palmiere: We are, Ron. I'm comfortable with that guidance.
Ron Aubrey: All right. Fair enough. And then final question, more longer term, has to do with your drill results, and I thank you for the color in your 10-Q. You're certainly showing a significant increase in higher-grade mineralization and certainly down-dip extensions on the Switchback vein system. And I think you've called this now the three sisters. Could you maybe update us on what you think is there?
Allen Palmiere: Okay. I'm going to address that question. But first, the down dip to the Southeast on Switchback is just a continuation of the existing system. We've drilled down - we had significant intersections, 80 meters below the existing workings. And what that potentially gives us, and I'm being very careful about the words I'm using, what that potentially gives us is four additional levels. There may be more below that, but for additional levels is a very significant increase to the mine life. What I'm calling the three sisters is actually to the northwest of Switchback, and it actually is located between Switchback and Arista quite high up. As you know, we've had some very interesting intersections. We just now are in the process of finishing an underground drill station that will enable us to do a little bit more work in that area. Tonnage, I can't give you any idea. We're optimistic, but it's way too premature for me to even guess as to tonnage. I'm encouraged, but we need more information.
Ron Aubrey: Okay. Well, fair enough. Well, congratulations on you and your team to navigate this difficult period, looking forward then to the future results. Thank you.
Allen Palmiere: Thank you. I appreciate the call. There was one call that came in over the web that I just wanted to address before we move on. And I'm not sure who it came from, but it was a question about energy, the Back Forty project. That is all electrical power off the grid at rates that are very attractive. I'm not in a position to disclose them at this stage, if ever. But I will say that they are better than the rates we're being charged in Mexico. Now are there any more questions?
Kim Perry: Not at this time.
Ann Wilkinson: So, I'd just like to thank on behalf of our team, I'd like to thank everyone for attending our third quarter conference call, and we look forward to the opportunity to engage with our shareholders and other stakeholders over the next days and weeks.
Allen Palmiere: Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's event. You may disconnect at this time, and have a wonderful day. We thank you for your participation.